Operator: Good afternoon, ladies and gentlemen. My name is Dede, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Gap, Inc. first quarter 2016 conference call. [Operator Instructions] I'd now like to introduce your host, Jack Calandra, Senior Vice President of Corporate Finance and Investor Relations.
Jack Calandra: Good afternoon, everyone. Welcome to Gap, Inc.'s first quarter 2016 earnings conference call. Before we begin, I'd like to remind you that the information made available on this webcast and conference call contains forward-looking statements. For information on factors that could cause our actual results to differ materially from the forward-looking statements as well as reconciliations and descriptions of non-GAAP financial measures, please refer to today's earnings press release as well as our most recent Annual Report on Form 10-K and our subsequent filings with the SEC, all of which are available on gapinc.com. These forward-looking statements are based on information as of May 19, 2016, and we assume no obligation to publicly update or revise our forward-looking statements. Joining me on the call today are CEO, Art Peck; and Executive Vice President and CFO, Sabrina Simmons. Sabrina will be using slides to supplement her remarks, which you can view by going to the Investors section at gapinc.com. With that, I'd like to turn the call over to Art.
Arthur Peck: Thanks, Jack. I appreciate it. I want to spend some time on where we are and where the industry is strategically and what we are doing. You'll recall that over a year ago, I spoke to you very directly about the fact that we were not where we needed to be in terms of products, across our brands, and how we needed to bring product to market. And we have done a great deal of work across the company over the last 12 months-plus to be focused on product, focused on restoring the aesthetic of our brands, quality where is appropriate, consistent fit and a number of elements of product, including building responsive product capabilities. I am pleased with the work, it is the right work and we will scale this work progressively period-over-period as we go forward. But clearly, we need to do more, faster. And so with that, we've announced several other things that we're going to be taking on with a high degree of urgency. This is an environment that we're operating in today that demands faster change. We are present today with our global footprint, where apparel dollars are being spent. That said, that is never meant that we will compete in every geography, with every brand and every channel. And I'm a strong believer in this company of trying things, learning from them, making adjustments and moving forward, and doing that with speed and doing that decisively. As part of this, we have announced that we will be winding down our Old Navy operations in Japan, partly due to the macro factors in that environment and partly due to, frankly, needing to apply the resources to greater and higher potential opportunities. I am obviously disappointed that we're going to be discontinuing operations, but I view it as a sign of a good company, when you acknowledge that the business isn't going to deliver, and you make changes and move forward. I am so, with respect to Old Navy, very bullish about its global growth opportunity, very excited about the potential that lies in front of that. China has been and will continue to be a key area of focus for the entire company. And so far in Mexico, I've been very pleased with what I've seen as the growth potential and profitability potential there as well. I'd also want to call out the fact that part of the work that we're doing right now is making sure that we're taking every opportunity to exploit our scale and our mass and our size. We believe very strongly that we have a structural advantage in our North American footprint. There are other advantages in North America that I want to make sure that we're fully exploring. Whether these are supply chain, logistics, our mobile and web presence, our CRM opportunity, all coupled with our product engine, which I believe form a potent formula for winning in North America. There is a tremendous CRM opportunity here. And when I say CRM, I really mean the opportunity to know our customers holistically and increasingly communicate with them as individuals and personalize their experience. We also have an opportunity, if I go back to mobile for a second, to move towards truly leveraging mobile traffic that we're getting on our website and continue to get towards a fully responsive, deep, integrated, super-efficient mobile web experience. These are all advantages that in our core North American market, we have, we can see them, we can exploit them, but we haven't pushed fully down that path. They are not unrepresented in our other markets as well, but with our home market being North America, they are powerful in terms of where we have structural advantage. So I want to highlight two words, and I've mentioned these now frequently inside the company, and I just want to underline them for this conversation. One is acceleration and the other is distortion. They are both critically important. One is about moving faster on a broader front, and the other is about aligning our energy against fewer things, deeper and better. Acceleration is about the change that we've already been embarking on as a company, but pushing harder and pushing faster. We have an opportunity to tighten up our operating model to accelerate that change, in order to be more nimble, to operate faster and to be more efficient at the same time. And I intend that we will take advantage of every opportunity there as well and accelerate the change that we're making. I also used the word, distort. And what it means to me is to make sure that our energy, our resources, our investment, our talent, our push towards places where we can win, where we can create advantage that is meaningful in our economics and advantages for our customers and win. So what's a good example of that? Our presence in active today. It's a big business for us. We're one of the largest players in active in North America today. And it's an opportunity to continue to build the business, to participate in the highest growth segment of the apparel space. And then bring our scale, our mask and our capabilities to bear in technical innovation, in fabrication, in design and in trend, bring those to bear not just in our active business, but on behalf of our entire ready-to-wear portfolio. Let me come back to Q1. Topline and bottomline, unacceptable. We saw traffic volatility over the course of several weeks during the first quarter, and it obviously had a significant impact on demand, on promotional levels and on topline and bottomline. What I am very encouraged about is what we are seeing inside the business and the customers' reaction to the product work that we've been doing over the course of the last year. Go into a Gap store, look at the product, feel the quality, see the color, the optimism, the consistent fit, really proud of the work that the team has done, and our customers are responding to it. But I started this a year ago, and said, if we don't win at product first, we won't win. And it's clear that we need to do more than product. But I am very pleased with the product work that we have done, and again, how it is showing up in front of our stores. You've heard me speak to Old Navy before, too much fashion, too much duplication in the assortment. The most important thing to know about Old Navy is the brand proposition, the value proposition is compelling. I am very excited about the team getting the brand back on track. I have zero doubts about how compelling the value proposition is. Let me speak briefly about Banana for just a moment. Obviously, again, very disappointing comp in that business and we have more work to do to make sure that all of the product in the stores is being brought into the stores through the filters that the brand has put in place. That said, on key item buys, where we have been relentless about quality fit and making sure that it honors the promise of versatility that Banana has always honored, I am seeing some very encouraging results there. Last, I have not spoken to you much about Athleta, but I would be remiss not to call out the fact that Athleta continues to perform superbly for us, and it is positioned right in the sweet spot of the active space, which is growing faster than the overall rate of apparel. And it's a place where we are fundamentally omni-channel in our structure and very innovative all the way down to the fiber and fabric level in terms of product fabrications. So both as a growth driver in this company, but also as a source of innovation to the rest of our portfolio, I couldn't be happier having Athleta as part of the Gap Inc. family. Let me close by saying that, again, to me the change that is impacting this industry is obvious. It's been obvious to us for a while, which is why we are moving with urgency against a multi-year plan to modernize this company across many levels. I am very excited about what this company can do going forward. Thank you. And let me now hand off to Sabrina.
Sabrina Simmons: Thank you, Art. Good afternoon, everyone. As you heard from Art, we're committed to focusing the business to gain market share in key strategic markets, where we believe we are structurally advantaged and/or where there is significant runway for growth. The decisions we disclose today will allow us to better align our talent and financial resources against our most important priorities. First, we've made the decision to wind down our Old Navy business in Japan by the end of fiscal 2016. Additionally, we are planning to close a number of dilutive Banana Republic stores, primarily internationally. Further, we are taking steps to streamline our operating model. Let me give you some detail. Regarding, Old Navy. As a reminder, we launched Old Navy Japan in 2012 and have 53 stores. While Japan will continue to be an important market for the company with over 200 Gap and Banana Republic specialty and outlet stores remaining, the investment in terms of both financial and human capital to build a new brand in that market is significant. Given the lack of growth in the apparel market there, we have decided this level of investment wasn't prudent. In the near term, Old Navy's growth ambitions will be anchored in North America, including our newest market, Mexico, as well as China and the franchise business. These opportunities present significant potential for us. With regard to streamlining our operating model, we have an opportunity to become more nimble and better leverage our scale. This will allow us to deliver the continued expense discipline you have come to expect from us and mitigate the natural upward momentum in SG&A. Together, we expect these decisions to result in annualized savings of about $275 million and operating margin improvement of nearly 2 percentage points. It's important to note that we expect an annualized sales loss of about $250 million from the closure of approximately 75 stores. We estimate restructuring costs of about $300 million, of which about $100 million is estimated to be non-cash. Now, let me go back and speak to the results for the first quarter. While we're disappointed with our first quarter performance, it's important to note we've maintained our operating discipline in the areas we can control, as evidenced by continued expense management, ending inventory in line with our guidance and delivering positive free cash flow. With regard to sales. Sales totaled $3.4 billion. Comp sales were down 5%. Foreign exchange negatively impacted net sales by about $20 million. Total sales and comps by division are in our press release. Moving to gross margin. First quarter gross profit totaled $1.2 billion and gross margin contracted 260 basis points to 35.2%. Merchandise margins were down 170 basis points, driven by Old Navy and Banana Republic. Rent and occupancy deleveraged 90 basis points. Regarding SG&A. First quarter total operating expenses were $987 million, slightly below last year. Marketing expenses were down about $9 million versus last year to $127 million. Operating income for the first quarter was $222 million and net earnings were $127 million. Earnings per share were $0.32. Regarding the balance sheet and cash flow. Total inventory was down about 3% at the end of the first quarter, in line with our previous guidance. We expect total inventory dollars at the end of the second quarter to be down in the low-single digits year-over-year. For the quarter, free cash flow was an inflow of about $30 million and we ended the quarter with $1.3 billion of cash. Regarding capital expenditures and store count. Year-to-date, capital expenditures were $139 million. Square footage was down 1.3% compared with last year. Store count and square footage are listed in our press release. With regard to our earnings outlook for the remainder of the year, we are operating in an evolving apparel retail environment and it's unclear whether the trends in Q1 will play forward for the remainder of the year. Therefore, we are not reaffirming our 2016 guidance. For now, we believe the current first call consensus EPS estimate of $1.92 falls within a reasonable range of potential outcomes, excluding the restructuring charges I outlined earlier. To be clear, the Q1 trend would need to improve in order to achieve this consensus estimate. If the Q1 trend continues, this would present downward pressure on the estimate. Regarding other guidance metrics. Our cash flow generation and strong balance sheet has been and continue to be strengths of our business model. We intend to maintain that focus, and therefore we are reducing our 2016 capital spend guidance by about 20% or $125 million to about $525 million. We now expect depreciation and amortization of about $550 million. Regarding square footage. We now expect to end the year down 2%, a reduction from our earlier guidance of about flat. It's important to note, we continue to have a diversified portfolio with the majority of our fleet either in the value segment or in growth markets, and only about a quarter of the fleet in traditional North America Gap and Banana Republic specialty stores. Regarding tax. Due to the fact that the restructuring charges necessitate certain non-cash valuation allowances that impact our effective tax rate, we now believe the rate for the full year on continuing operations will be about 40%. In closing, our global growth strategy remains intact. We are simply focusing our talents in capital on areas that have the greatest potential for profitability. After our actions, we will still have a presence in over 90 countries. While we're disappointed with the results for the quarter, we're energized about our plans to evolve our business and to capitalize on the competitive advantages we have. Thank you. And now, I'll turn it back over to Jack.
Jack Calandra: That concludes our prepared remarks. We will now open up the call for questions. We'd appreciate limiting your questions to one per person.
Operator: [Operator Instructions] Our first question will come from Simeon Siegel with Nomura Securities.
Simeon Siegel: Can you share any more color on the specifics behind streamlining the operating model? And then, Sabrina, maybe any help on the timing of when you'd expect the cost savings to hit?
Sabrina Simmons: I mean, most of the savings are going to come from the operating model actually. But I would tell you that the actions are going to take place throughout 2016. So we don't expect a significant portion of the annualized number to come in '16. Although, it is going to be helpful, and as I said, it's going to enable us to deliver the continued expense discipline that you'd expect from us.
Simeon Siegel: And then, if I can just follow-up on that. In light of the comments on the full year guide, do you think anything is changed in the ability to forecast the business longer-term? And is there any changes in the predictability in general? And if so, is there anything you can do to maintain your ability to plan the business going forward?
Sabrina Simmons: Look, I think what was really interesting about Q1 was really based, in our assumption, around traffic, which we had never expected positive traffic, but we didn't expect deeply negative traffic. And the other interesting thing about the trend was it was quite erratic. So we know that February started quite well, and even March started quite well and it fell off precipitously in the week before Easter. So I think we just want to talk for a minute and see if the Q1 volatility is a continuing trend or an aberration for us. And that will allow us to get a better sense of the full year and the assumptions we want to base that on. But as I said, I think that the consensus estimate is very reasonable in terms of the range of outcomes that we could predict at this time.
Operator: And next we'll hear from Matthew Boss with JPMorgan.
Matthew Boss: Could you just talk to your promotional strategy today? I guess any changes to potentially drive increased traffic in the second half and any consideration to potentially taking a cut to initial ticket prices just to maybe reset the bar? And then, last question, just regarding distribution. I know you made some comments about Amazon. Just any opportunity in sort of the thought process between the potential partnership at some point?
Arthur Peck: Sure. Let me try to address all of those. Several of those bundled together, that was very clever. If we just think about promotion, I think it depends on the brand, because we're in very different positions on each brand. Gap and Banana having come out of situations where they were extremely deep over the course of the last, in some cases, 18 to 24 months, because of big product issues. And in both of those businesses we are working to drive topline, but also to tighten up our discounts. And if you are a subscriber to our emails or in our stores or on our website, you'll notice that it is real, it is not easy, but we are working in terms of the depth of promotions, the promotional frequency and the breadth they cover. And I actually was just with the Gap team, where we went through looking at our commercial plan up to Memorial Day, and how we're trying to drive very compelling seasonally appropriate message from a promotional standpoint, so that we can play, but also working to protect margin as much as we can. Same is really true on Banana, where we have backed off. And I will be the first to say that when you start tightening up in promotion, you are playing a game of chicken with your customers, and they try to way you out. And so we've been playing that now for really the last quarter. And we've seen more effects on this quite honestly. It will be easier in Gap, where we're seeing the numbers move more consistently in the right direction, a little more sporadic inside of Banana. Maybe we have been promotional. We are promotional. We missed execution in Q1 from a marketing standpoint, and we are really tightening up the commercial messaging for Q2 and Q3, but we are going to continue to be promotional there. It's the way you have to play in the value space. And I think as we've said over the last few years, we have actually been quite good and pleased with the fact that we have improved our yields in managing the underlying promotions, while at the same time communicated a strong value message. And then you have something like in Athleta, which inevitably is a smaller, but everyday a larger piece of the portfolio. It is still largely a [ph] right priced business, and a business that we really feel good about from a standpoint of the promotional cadence there. On tickets, absolutely. It's something we've been looking at. And in fact, in some cases, both in Banana and Gap and Old Navy as well, all three, we have made some adjustments to our tickets, where we felt like the initial tickets, given where our competitive out the door pricing was just were not real at the end of the day. And that's something that we're always looking at. On Amazon, I'll reiterate exactly what I said, regardless of how it got interpreted, and that is that, we are committed to making sure that we are where our customers are. And today, our customers have obviously moved in digital, very significantly to a mobile experience. And we are running as quickly as we can to make sure that we run alongside them everyday. Amazon's presence in ecommerce is undeniable in this country, and therefore, to not fully consider all the options of distribution for us would be to not be thinking about things that were important to us, so no way was I previewing a partnership, I'm just previewing the fact that we want to make sure that we're very situationally aware of what is going on around this with our customers and in the world.
Operator: Our next question is from Dorothy Lakner with Topeka Capital Markets.
Dorothy Lakner: I wondered if we could go back to product for a minute, and Art, if you could talk about just the evolution that you're trying to affect at Old Navy where you had too much fashion and you need to adjust the mix, how long you expect that to take? And then, at Banana, where you may have assumed that the better product would get a better customer response and it didn't, what you're doing there? And then lastly, how we should see the evolving mix at Gap, since you are seeing success, both topline and margin, how we should see that evolve over the course of this year?
Arthur Peck: Yes. Let's talk Old Navy. Old Navy really started to soften for us in Q4. And that was right around the time, as you recall, we also had a leadership departure, and an interim leader. We got in there very quickly. We looked and diagnosed the problem by then Q1 was bought, so we had the assortment architecture that we had. And again, the issue there is not as much less about product acceptance and much more about the architecture, the assortment, and frankly, duplicative and over assortment largely in the women's business, items that were bought for very short fashion buys, a collections orientation, and we lacked the depth and tightness around key items buys in Old Navy. And so on diagnosing that, that's obviously come through Q1. As we have said before, focused on making changes as quickly as possible in Q2, which was coming at us pretty quickly, and I feel much better where we are in Q3 in the reset of the assortment architecture. I don't want to leave unmentioned the fact that we have not had strong marketing in the first quarter of the year. And that has contributed to what has been an unacceptably soft Old Navy business, when I believed value continues to remain strong. And so it's deeply disappointing to me. We pulled TV out of April. We had ineffective TV. TV is a big brand driver for Old Navy and we're back on that as we look into Q2, and then certainly into Q3, and line up for back-to-school. And so I'm not going to call everything right, as we crossover the threshold into Q3, but I'm confident that we have the proper diagnosis, we took the proper actions, we've realigned the commercial plan, and the overall macro trends for a value competitor, family value competitor for Old Navy, should be strong. And if I pivot to Banana for just a second. Again, where I see us having put the most intention on key item buys to the filters of the brand, I am pleased with what I'm saying. It is just too little, not fast enough, and then that the customer is responding to those, it validates the work that the team has been doing. And then I go to the words that I've been using of accelerating the change to get there as quickly as possible, and that's a period-over-period change, that we have confidence is going to continue to improve the business. Banana is the toughest product business that we have just given the segment that they're in, and the work there has been the hardest work to reestablish the aesthetic and invite to consumer backend. Leading-edge metrics in Banana around customer feedback, around reviews, and things like that, are very positive, but we're not anywhere close to where we need to be as fast as we need to be there. If I go to Gap, here's what I would say about Gap. If the traffic volatility that we, and the industry, had not experienced, that that have not happened in Q1, we would be sitting here having a very different and much more upbeat conversation. The metrics underneath the covers are moving in the right way. When we're in a mode like this, we track period-over-period leading-edge metrics and they're all moving in the right direction for Gap, but we had traffic volatility that made it very difficult to show the topline that we were looking for. So it's a mix story across the businesses. And again, I just want to come back to Athleta, we've got strong strength of the portfolio. I mentioned that in my comments and I want to underline that as well. We have a big business in active for this company and it's a place where we are pushing hard to continue to store towards that space. As we look at that business, highest growing, and it will be a very significant segment of the overall ready-to-wear apparel space as we go forward and we plan on being here to stay.
Operator: And our next question is from Paul Trussell with Deutsche Bank.
Paul Trussell: Just wanted to inquire about maybe inventory goals. I know it's a volatile marketplace. It's tough to know the pace of trend that you'll be dealing with. But just how should we think about what would be a comfortable level of inventory for you guys by the end of maybe 2Q or yearend?
Sabrina Simmons: As I said, we're guiding to a low-single digit negative for Q2 and we just finished Q1 at a minus 3, so similar trend. We have said all along especially for our North America specialty brands, we want to keep the inventory pretty tight. Now the tightrope we all walk is you don't want to bring it down so far that you cut off your opportunity to get a positive comp, so that is always the delicate balance that we walk, but we think pitching it where we're pitching it right now at a low-single digit negative strikes that balance, so that's what we're looking for.
Operator: Let's go to Paul Lejuez with Citi.
Jennifer Davis: It Jennifer on for Paul. Quick question on Athleta. I was wondering if you could talk a little more about that, give us a sense of the size of the business now and maybe the margin structure of that business.
Sabrina Simmons: We don't disclose a lot about that yet, Jennifer, but you can get a sense from it in our other column. So included in the other column is Piperlime, INTERMIX and Athleta. And Piperlime, we wound down in Q1 of last year, so the number looks a little bit funny because of the lack of Piperlime sales this year when we had them last year. If you remove that, we'd have a double-digit increase in other and that gives you a sense directionally since Athleta is much larger than INTERMIX. That gives you a sense directionally of that business.
Jennifer Davis: Well, can you give us a sense of size of INTERMIX and how that's performing really?
Sabrina Simmons: Well, I think the way to think about that Jennifer is we haven't grown the fleet very much, since we purchased it. And so I think back then we probably gave a sense of the size of the purchase, so its kind of been trying to tighten up and learn about the business model, so there hasn't been much growth there, so I would say the primary driver of the growth in that column is going to be Athleta.
Jennifer Davis: And then did you say how much FX impacted earnings this quarter?
Sabrina Simmons: Yes, we did in the press release, but I'll tell you now again that its 4 percentage point drag on earnings per share in the quarter. Thanks for asking because I didn't say it in my remarks.
Operator: And next we'll hear from Ike Boruchow with Wells Fargo.
Ike Boruchow: Sabrina, could you maybe give us a sense of the timing, I'm sorry if I missed it, but the timing of those roughly 75 store closures, maybe what quarter those will fall into? And then just to clarify, so those stores represent about $250 million in sales and generate a loss of $275 million or is there something else like back office or headcount that gets you to $275 million in savings?
Sabrina Simmons: So let me take the last part of that first. So the $275 million, I guess, is made up mostly of operating model changes we are making across the Board at Gap Inc., so the Old Navy Japan contribute to the $275 million, that is not the majority at all. So the majority is the streamlining of our operations across the board. With regard to the store closure timing, I would expect that to take place throughout 2016 and really probably weighted towards the end of the year.
Operator: Next we have Brian Tunick with Royal Bank of Canada.
Brian Tunick: I guess, Sabrina, I was curious, I think you mentioned either 2 points or 200 basis points of an operating margin benefit go forward. I wonder if you're referring to 2017, if you're referring to the core business or does that have to do with some of the streamlining you're doing, that you're announcing today. So just curious about what you thought? Does that mean your longer term operating margins can get back into the low-double digits over the next couple of years? And then second question, on Old Navy, sorry to beat it to death again, but just wondering between macro and weather, I mean how much could this fashion miss or over-fashion really have impacted the quarter here. It seems like it a couple of months now the trend has been decelerating, so just wondering as you parse out different buckets what you've learned and what's the timeframe again you'll see those product changes?
Sabrina Simmons: So I'll start on operating margin, so the base that we're talking off of is sort of our expected 2016 base, so if you remove the sale of $250 million and you remove all the associated line items that gets you the annualized savings of about $275 million, Brian, you get about nearly 2 percentage points of operating margin accretion. So it's actually quite powerful from an operating margin perspective. So we're very pleased with that. This is going to be a journey back. So this is a big step forward in focusing us on the businesses that have the highest potential for long-term profitability and removing those that have quite a dilutive impact. So that's on the operating margin. I'll turn it over to Art for the second question.
Arthur Peck: Sorry, the second question was around Old Navy, correct, and product. Again, like I said earlier, we saw what we saw in Q4 and gone immediately. And again, that was coincident with the change in management and leadership transition. We made modest changes to Q1, as we previously indicated, because most of that product was either here or on the way. So could have a limited amount of impact. And then incremental changes in Q2, as well, and the ability to significantly affect Q3, and obviously wholly affect Q4 And so from the standpoint of the assortment architecture, which again was really largely around women's product being over assorted and lacking in the appropriate variety across some of the key programs and then lacking the inventory depth behind key buys that is significantly corrected as we get into Q3. At the same time we've had weaker marketing against some strong marketing that we've had in the previous year and we work to correct that. We put TV and the number of other things back into the schedule in order to bring our boys back everyday. And so do I believe that we're going to continue to see weakness in the business on a going forward consistently? I don't, because the value proposition again is in the sweet spot, where we should playing right now. I have much more confidence that the architecture of the assortment is back in line in Q3. And then Q4, I think we're in a very good shape and we have a very strong marketing program decked against it.
Operator: And next from the Telsey Advisory Group we're here from Dana Telsey.
Dana Telsey: As you think about the opportunities and the focus on supply chain, logistics, CRM, with each business what's the opportunity and what's the timeframe to achieve that? Do you think it help sales or helps margins?
Arthur Peck: Dana, that's a question we can probably spend a day talking about, so I thank you for asking it. Surely, you're aware obviously since we have spend a lot of time talking about the backend that we're doing, the backend work we're doing on supply chain, and that's work, that is again, a journey not a destination. I'd see significant scaling of that as we go forward in the businesses period-over-period. But it's again, a journey that we're on at the end of day. If I look at some of the other areas, let's go to CRM first for a second. It's what I am really passionate about, I just announced a position in the company of a Chief Customer Officer, where we are taking a wide variety of desperate connections that we have with our customer and stitching them together organizationally and beginning to really build the capability to have a much more consistent, deep and holistic view of our customers as individuals. In core of that, as you might imagine, is our credit card, which are our best customers. It's a program that we only have in the United States, which is part of why I go to structural strength. It's a very strong program here for us in the United States and it represents a significant portion of our business. And I'm not of a mind that an organizational change brings about meaningful change, but we have had bits and pieces of the customer, again, in the number of places in the company and I've just broken those walls down and brought it together. And if I think about where best practices are broadly, we are well behind that. I think we're actually in a pretty good space from where best practices are in the apparel industry and I'm looking to accelerate that significantly there also. And again, credit card is the core, web browsing history, obviously all your tender history, loyalty program, multi-tender loyalty program all coming together in one place. And that's one example. And again, I'm not going to tell you that's a lights on moment in Q3 or Q4 or something like that, we live in a world today where we spend a great deal of money on marketing, something else that I've signaled to you before, and a lot of that money is spent in very traditional ways. And we are now increasingly enabling the capability to be much more one-on-one in our communication targeted and personalizing our communication. And that's a pivotal way from some of the traditional vehicles that we've seen to much deeper form of communication through CRM. I had my Board this week, and I explained to them that one of the places this will manifest itself is I think windows today are much less relevant than they have historically been and you'll see this going forward that we're actually skinning down our windows treatment in Gap, as an example, on the belief that if you haven't won at the digital interface on the front end, your windows in the mall store probably not going to make a difference at the end of the day. So this is work that's underway. Again, and I am happy, of course, as always to talk you separately, but its work that we're enthusiastic about, what we believe we really truly have some structural advantages.
Operator: And we have time for one final question from Omar Saad with Evercore ISI.
Omar Saad: I would love to hear a bit of thoughts on ecommerce side of the business. It's such a strong suite for you guys for so many years. I know it sounds like you're kind of moving a little bit more towards investing behind the mobile capabilities to round out the suite of your prowess there. But could you give us an update on kind of how you're thinking about ecommerce business? And then maybe how we should expect the mobile side of it to pulled in over time?
Arthur Peck: I think it's really a question to place where we have had strength and we continue to have strength. And we see it obviously as everybody does, I think, a long-term progressive shift of the consumer moving in that direction. Let me go straight to mobile for a second, but let me do the, sort of, what I call the leaky bucket. If you think about business moving from stores to a desktop or laptop to mobile, stores for the industry, conversion of traffic into stores, whether its in the mid-20s to the high-30s or something like that; if you go down to a desktop or a laptop experience, where someone is buying, that traffic converts somewhere in the low-single digits for most people out there. And then if you go to a mobile experience a lot of people out there today are seeing conversion off of mobile traffic as a fractional single-digit. And so the work that we're doing is very much about addressing that migration of traffic and making sure that the opportunity for us to monetize that traffic as it moves remains there at the end of the day. So if I go straight to mobile, a big part of mobile is making sure that people have an incredibly easy shopping experience and checkout experience on the mobile device, but the content is relevant, so that needs a responsive website, which we're largely towards achieving right now. And then, obviously, content and the digital experience that shows up on a screen that's 2.5x5 inches at the end of the day, and so that's something where we're very focused for us. Overall, our traffic has grown and it's grown with digital. If I were a retailer out there, who was looking at this and was seeing my traffic being directly substituted from my stores to a desktop to a laptop to a mobile device, I would really start to worry about that bucket leaking out the of the business. And so we're committed to making sure where our customer is. And our customer today increasingly is on a mobile device, which means a great mobile shopping brand and ecommerce experience. End of Q&A
Jack Calandra: I'd like to thank everyone for joining us on the call today. As a reminder, the press release, which is available on gapinc.com, contains a full recap of our first quarter results as well as the forward-looking guidance included in our prepared remarks. As always, the Investor Relations team will be available after the call for further questions. Thank you.
Operator: And that does conclude today's conference call. We thank you for joining.